Operator: Good afternoon. My name is Tracy and I will be your conference operator today. At this time I would like to welcome everyone to the Las Vegas Sands Corp First Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Daniel Briggs, Senior Vice President of Investor Relations, you may begin your conference.
Daniel Briggs - Senior Vice President, Investor Relations: Thank you very much. Before I turn the call over to Mr. Adelson, please let me remind you that today’s conference call will contain forward-looking statements that we are making under the Safe Harbor provisions of federal securities laws. The Company’s actual results could differ materially from the anticipated results in those forward-looking statements. Please see today’s press release under the caption Forward-looking Statements for a discussion of risks that may affect our results. In addition we may discuss adjusted net income and hold-normalized adjusted net income, adjusted diluted earnings per share and hold-normalized adjusted diluted earnings per share and adjusted property EBITDA and hold-normalized adjusted property EBITDA, all of which are non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures are also included in the press release. Please note that this presentation is being recorded. We also want to inform you that we (have posted) supplementary earnings slides on our Investor Relations website for your use. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in question-and-answer session we ask that please limit yourself to one question and one follow-up so we might allow everyone with interest to participate. With that let me please introduce our Chairman, Sheldon Adelson.
Sheldon Adelson - Chairman and Chief Executive Officer: Thank you, Dan. Good afternoon everyone and thank you for joining us today. We could be more pleased with our record financial results which reflect continued execution of our principal strategic objectives. I would like to take you through some of the highlights of the quarter. We delivered outstanding growth in revenue, cash flow, net income and earnings per share again this quarter, with our adjusted diluted earnings per share increasing 37% to reach a record $0.97 per share. We’re also meaningfully increased the return of capital to shareholders. We produced another record quarter in Macau where adjusted property EBITDA grew 49% to reach a record US$940 million. We continue to grow faster than the Macau market in mass table games, the most important and profitable segment. Our mass table wins for the company increased (indiscernible) to reach a record US$1.34 billion. Our growth trade was 40% faster than the Macau mass market as a whole. We’ve consistently grown past within the Macau market as table games (indiscernible). The first quarter of 2014 generated approximately $867 million in mass table revenue and we grew that in each successive quarter to $930 million, $1.06 billion, $1.22 billion and finally $1.34 billion in the first quarter of 2014. Our annualized departmental profit in this segment has increased to approximately US$2.44 billion from approximately $1.46 billion over the last year. That growth has allowed us to bring nearly $900 million additional dollars annually to our departmental profit and EBITDA. We’re confident about our growth in the (indiscernible). First we intend to increase the utilization of our market leading 9,000 suites and hotel room inventory on the Cotai Strip which represents 56 of room inventory owned by gaming operators - 56% room inventory owned by gaming operators. For our most valuable mass gaming customers that hotel inventory will expand to an nearly 13,000 suites and rooms with the opening of the Parisian and the addition of the St. Regis Tower at Sands Cotai Central which are both targeted for opening in late 2015. As our database of valuable gaming customers continues to grow and the hotel suite (enrollment to survey) expands by over 36% with the St. Regis and Parisian openings, our programs to our gaming customers will allow us to further optimize our mass table productivity across our property portfolio. Second, more people in (Brazilian) Macau on our property portfolio on the Cotai Strip. During January and February of this year robust visitation trends mainly in China continued. Chinese visitation from outside Guangdong province increased 19.2% in the first two months of 2014 compared to the first two months of 2013. We believe future growth will be enhanced by governmental infrastructure investments in Macau this Special Economic Zone of Hengqin Island and throughout Eastern China. These investments will enable more people to more usefully reach Macau and will completely to Macau’s evolution as the leading business and leads the destination behinds them. Third, as visitors come from further away, they stay longer and they spend more dining, retail and entertainment. The 2.19 average length of stay for overnight visitors to Macau has increased but it is still far below Hong Kong’s average of 3.7 nights. We believe increasing length of stay in the years ahead and while also contributing to growth. Also when people travel from further away they bring larger gaming budgets. Turning to our VIP business in Macau. It is also exhibiting strong growth with our rolling win increasing 18.2% to reach a record US$1.45 billion. That represents lowering rolling win per table in excess of US$39,000 per day which was another record for the company and up 49.1% compared to the quarter one year ago. An another (price) for the quarter we were in the number one position in Macau growth gaming revenue was at 23.2% revenue share. Far more important to us of course is growth in EBITDA which expanded 45% in the quarter. The strong performances with the Venetian and Sands Cotai Central for the quarter demonstrate the positive impact of the substantially increased critical mass of our Cotai Strip. Our market leading Cotai Strip investments including over 9,000 hotel suites and rooms together with our dining, retail, entertainment, convention and exhibition offerings and elevated the overall tourism appeal of the Cotai Strip. Our property portfolio is now attracting a more valuable set of customers who are staying longer and spending more which in turn is driving growth of both presence. This increases the returns across our entire property portfolio. We couldn’t be more about the future benefits that the additional suites and hotel rooms, dining, retail and entertainment attractions of the Parisian will bring to the Venetian, Sands Cotai Central and our Cotai Strip. Now, turning to Marina Bay Sands in Singapore, I want to say the hold finally came back. We generated US$435 million of EBITDA in Marina Bay Sands during the quarter. Importantly Marina Bay Sands proven success in delivering the economic benefits of our convention based integrated resort business model are allowing it to serve as the most important reference site for merchant jurisdictions that are considering integrated resort development. We’re proud of our contribution to Singapore and look forward to future developments that leverage the convention based IR business model. Now turning to development investments in our current markets. Construction continues at the Parisian and Macau. We remain both on budget and on schedule and of course subject to timely government approvals that maybe required, we continue to target a fourth quarter 2015 opening. In addition we’re continuing construction on the St. Regis Tower, the fourth and last tower of Sands Cotai Central. We’re also targeting the fourth quarter of 2015 for the completion of that project which will add over 700 additional hotel and a private hotel units to our portfolio in the Cotai Strip. Now moving on to the pursuit of opportunities for integrated resort development in new markets and geographic areas. In Asia activity levels in Japan remain robust and we’re pursuing the potential for integrated resort development in this promising market with great enthusiasm and optimism. Korea has also shown increased activity levels and we’re looking forward to the potential development opportunities there. We created the convention based integrated resort business model, a model that benefits those markets through increased employment, business and leisure tourism and visitor spending. Combined with our track record of demonstrated results in Las Vegas, Singapore and Macau where we have broadened and strengthened the business in leisure tourism appeal of each market. We feel we’re exceptionally well positioned to compete with these development opportunities. One particular area of focus for our company is our commitment to lead the industry in appliance. We have invested meaningfully and made great efforts to create a culture of compliance throughout our organization. It is important to all our constituencies including our customers, suppliers, gaming promoter partners, regulators, lenders, investors and team members that would lead the industry in compliance. Compliance must be ingrained in the way we do business. We’re proud to lead the industry in this vital area. Finally let’s address the return of capital of shareholders. The confidence we have in the strength of our business and the reliability and predictability of our cash flows had allowed us to regularly increase the return of capital to shareholders. As we’ve said in the past as our EBITDA and free cash flow continue to grow, the cash not needed for capital expenditures and investments in new markets will be returned to shareholders through dividends and stock repurchases. Because of the long development cycle for investments in new markets there will not be a requirement for significant capital expenditures in new markets in the intermediate period. Over the last nine quarters through March 31, 2014 we have returned more than US$7.3 billion to our shareholders through dividends and stock repurchases including over $6 billion to Las Vegas Sands shareholders and nearly $1.3 billion to the known LVS shareholders of Sands China. During the first quarter of 2014 we create a recurring dividend of $406 million or $0.50 per share, an increase of 42.9% compared to the $0.35 per share we paid in the first quarter of 2013. In addition to raising the LVS recurring dividend we increased the Sands China Limited interim dividend for 2014 by 30% to HKD0.87 per share. SCL also paid a special dividend of HKD0.77 in February of 2014. We have every intention of increasing the dividends in LVS and SCL in the years ahead as our business and cash flows continue to grow. In addition to dividend growth we’ve returned US$810 million of capital to LVS shareholders during this quarter through our stock repurchase program leaving approximately $620 million remaining under our current LVS stock repurchase authorization at March 31. We expect to keep repurchasing at least $75 million of LVS stock per month. We saw the opportunity in the first quarter of this year of what we’re reporting to buy more shares so we spend a total of $810 million. We look forward to continuing to utilize this stock repurchase program to its current capital to shareholders and to enhance long-term shareholder returns. Regarding leverage we remain comfortable with a gross leverage debt to EBITDA ratio of between two times where we’re today and around three times before additional debt related to the future development of integrated resorts in new markets. We do not have specific plans to issue additional debt, we’re just thinking that there is a possibility we could go up, the three but I don’t think we go more than three. I don’t want to guarantee that but this way we’re looking at it now. We’re pleased to complete the refinancing of our Macau credit facility there in the quarter and to have extended the tenure of that debt on favorable terms through the end of the decade. We intend to maintain the strongest balance sheet in the industry which we believe provides another competitive advantage as we pursue global growth opportunities. In conclusion we’re successfully executing our business plan and I couldn’t be more confident about our future success. It’s my job together with our outstanding management team to make sure we stay disciplined and continue to execute the strategies that will both extend our industry leadership in current and new markets and generate strong growth in outstanding returns for our shareholders in the year ahead. You know my motto, yay dividends. With that, let me turn the call over to the operator to begin the Q&A session.
Operator: (Operator Instructions) Your first question comes from Joe Greff with JPMorgan.
Joe Greff - JPMorgan: Good afternoon everybody. Sheldon, your stock and other Macau operator stock have been highly volatile over the last two months over investor perceptions, investor concerns that the VIP player, VIP type of behavior maybe different or less robust than late weather related China macro factors or geopolitical ones? I was hoping maybe you can share with us and Rob as well your observations have laid into the VIP segment, are you seeing any change in behavior, obviously the math keeps calming and you are doing a great job and is that we are now performing in the market, but if you can talk about the VIP, which I don’t matter is less for you than others? That would be great.
Sheldon Adelson: I will give you validation about this concept for Chinese people. From the time of Confucius which was 3,000 to 4,000 years ago, I don’t really know, I never met Confucius. Nobody here is unable to suggest that Chinese and other Asian peoples don’t want to challenge look, they have been running a challenge like for 3,000 years and nothing to thick or thin, tall or short, slim or fat, nothing has stopped them and I don’t think anything will. If there is a momentary blip in the road, it’s like a speed bump in a private housing development, where people don’t want you to drive fast. So any – look at the number that we increased VIP over last year. I mean, that’s a number that’s more than what the market itself has grown. I don’t want to understand where people, I wish somebody could tell me beliefs that go on for 3,000 years of pretty hard to break. And I don’t know if anybody has tried for 3,000 years, but the fact is that’s sustained itself for such a long period. I was talking to somebody yesterday about how long with the potential for supply and demand to clash, I don’t know. And I think I am a pretty smart guy. I can’t tell you, I don’t think anybody could tell anybody with any degree of certainty where that line is going to cross. In any event, I don’t see even during the result of this last great recession that we had. The market, it didn’t lose. I think the worst that it got was even from year-to-year in one year. And then it go up again. Bob, what do you want to say?
Robert Goldstein: Joe, I think you referenced it well the geopolitical issues and macroeconomic issues in China clearly are more impactful as it relates to VIP segment. As you referenced, we are not VIP dependent as much as other people are. Our primary driver is going to be the 9,000, 1,500 non-rolling table games assuming 1,200 non-rolling table games were moving towards. And my way of thinking that’s our future. VIP will be what VIP will be. We will participate in that segment. I think we will do just fine competitively, but the real driver of our success as you can see for these numbers is our staggering advantage in the premium mass segments. That has been the driver of almost $600 million of EBITDA this quarter, up from $394 million amazing year-on-year returns in same-store sales. So we believe that is less affected by those issues. And that’s our powerhouse of our strength. So we will watch the VIP and like everybody else hope it goes the right way, but the real driver for SCL is going to be in those segments, and that’s so much in the VIP segment in the future.
Joe Greff - JPMorgan: Great, thank you Rob. And my follow-up question to you all with regard to the buyback activity in one quarter, in 1Q, that was 1.2% of your market capital, that’s a sizable amount. And you talked about being more opportunistic with the share price levels here, but the $80.80 average price in the 1Q and April being well below that, have you – can you talk about how much stock you repurchased thus far in the current quarter? And that was my….
Sheldon Adelson: How much stock do we intend to purchase in the current quarter?
Joe Greff - JPMorgan: No. What you bought quarter, the April to-date?
Robert Goldstein: Joe, we are not going to act on a quarterly basis how much we are actually buying. I think what’s fair to say is that we see value on the stock. And if we saw value at an average of $80.80, we still see value in the stock and you guys will hear from us about how much we bought when we get to the next time we get together on the…
Sheldon Adelson: I don’t think anybody was expecting us to buy over $800 million in one quarter, because we said we are going to buy at least $75 million a month. It was an opportunity. And I hope we don’t get too many downtrend opportunities, but we are looking at with the future where our stock is going to go. Some and other analysts just increased our price to $97 just before we started this call and I think I haven’t done a study, but I think the majority of our 28 to 30 analysts covering the company are all advised and I think mostly outperformed and that our growth we have such confidence in the growth of the company. Again, we are referring back to the conversation I had with a good friend yesterday about like where is this line going to cross of supply and demand? I don’t think in my lifetime it’s going to cross. And the youngest guy sitting at our table is about 30 and am I correct, Ian, give or take?
Ian Feldman: 28.
Sheldon Adelson: 28, oh, well, I missed that. And it is like that. And there is just not going to be a turnaround. There has never been a turnaround in the behavioral practices of Asian people. And I don’t think that will ever be. So yes, one day supply and demand may cross, I don’t know, but even when the other five concessionaires, the three basic and the other two sub-concessionaires, of which we are one of the three sub-concessionaires. What they opened was still going to be dramatically ahead in Cotai Strip. Cotai Strip was our vision. We did it. We are going to have 12,000 rooms all under one roof. We are having – we have got a pedestrian, air-conditioned moving sidewalk pedestrian walkway going, connecting the Cotai Central and the Venetian/Plaza casino and hotel at Four Seasons Hotel. We are going to have everything under one roof. And there will be nothing like it anywhere in the world. So as Macau continues to grow, we still hold a dominant position.
Joe Greff - JPMorgan: Okay, good enough. Thank you guys. Good results.
Robert Goldstein: Thanks, Joe.
Sheldon Adelson: Thanks, Joe.
Operator: Your next question comes from Shaun Kelley with Bank of America.
Shaun Kelley - Bank of America: Hey, good afternoon guys. Maybe to just stay on the buyback theme for a little bit longer, because I certainly agree, Sheldon that, that number was much higher than anyone we spoke with was expecting. Could you just help us think a little bit about just how you are trying to kind of value your stock or think about future growth potential here? I mean, I think what would be helpful is just knowing, given that there is only $600 million remaining on the authorization and the stock price is actually below where you bought back last quarter, just I mean how much more can there be, you should have a lot of firepower and a lot of room ahead of you to increase this if you want to?
Sheldon Adelson: The cash flow, the free cash flow that we will have in 2014 is significant, so significant that we could repeat our buyback program probably at another $2 billion. We have frankly – we haven’t talked about it in the serious vain. I’d like Mike to throw his $0.02 in on this issue, but whatever is good. I want to tell you that this is a very unique company. There was an article the other day that said that we were largest gaming, we were the largest market Cad company not to be in the S&P 500. Why is that, because they have a habit of not bringing in a company that is controlled by one person or family, as is the case too with LVS. That means that our interest, your interest and my interest, are aligned. I want stock buyback, I want dividend, I just joking you gave you my – repeated my motto, dividends and that’s what I want. And then is you noticed I haven’t sold any shares and to – unless one of my foundations had to sell some shares over the last five years, I haven’t sold shares for eight years. And it certainly expresses my optimism in the companies look at the quarters that I have resided that we grew from first quarter ‘13 to first quarter ‘14. What does that tell you, it tells you that our growth is consistent, it’s sustainable and we have the components that will keep it sustainable for years to come.
Michael Alan Leven: Okay, Shaun. Its Michael, Sheldon asked me the comment, I would just say we said before we continue to say that our cash flow indicates that we can distribute shareholders in both ways. That’s buying back stock and paying dividends and we continue to do that and making the decision as to how much stock, how much dividend we will make those decisions as the year goes on. They support our capital needs, but you can project as you already have – what our cash flow is and we are going use – we are using that to keep our properties where they have to be and make reimbursements. And then we paid more dividends and we buyback more stock and that combination will continue.
Shaun Kelley - Bank of America: Thanks guys. And then I guess my follow-up question would be kind of just to return to fundamentals. It’s very clear that in Macao you guys have been shifting more and more tables to the mass market segment and I was just wondering if you could talk a little bit some of the initiatives you are taking to continue to driven. Not just the number of tables higher but the yield per table higher. I think you guys have some good views on how do that, how to use the rooms and possibly what you are doing on premium asset Sands Cotai Central, so can you just talk a little bit more about that?
Robert Goldstein: Sure. As you well know, the Chinese population visitation to Macao just is under 2%. So as those infrastructure improvements continue to happen…
Sheldon Adelson: 2% of the Chinese…
Robert Goldstein: Chinese population, so as a result of that the market there keeps growing, that’s our growth engine and what that’s segment about it’s about table room capacities you well know. We can drive more customers into our hotels who are high value casino guests, EBITDA will grow, margins will follow, obviously SCC and Venetian are the targeted places because of the room capacity there. We are thrilled with $13,210 per table right now, Shaun, but we think we can get a lot stronger. We grew 181 tables year-on-year and that increased to 13.2. Our target is 15000, 16,000 per table in the future. Our target is keep converting as always you can get those kind of numbers out of our non-rolling segment. We think the key to our performance clearly is – resides in the amount of tables we have, the amount of rooms we have to put people and that say amazing competitive advantage that is deep root and structural. That’s the key of our business. I don’t think it’s that complicated to understand, coupled with significant retail and F and B offerings. We have the most desirable property in Macao and Venetian as well as this quarter for 70 I believe as we keep converting higher value customers that property keeps running. And we think the SCC although it performed well, has a long way to move as we get more the dragon palace opens up we get more rooms occupied that hotel is still not performing where it could get to 5600 rooms. The basic fundamentals are there for us to improve dramatically at SCC and Venetian it’s simply execution. We are not say we won’t be in other businesses or segments. But obviously the big driver Macao, the most unique thing about that market is the non-rolling market and that is our focus. And our belief is we can dominate that market with our room supply, our table supply, the good management team and execution.
Shaun Kelley - Bank of America: Great, thanks a lot. I appreciate guys.
Sheldon Adelson: Yes. Shaun, wait a minute this year’s bonus is predicated upon projecting how much money we are going to make per a table increased over the last quarter.
Robert Goldstein: Okay.
Sheldon Adelson: I believe in providing incentives. Besides that you can access my frozen yogurt machine.
Shaun Kelley - Bank of America: Thank you very much.
Operator: Your next question comes from John Oh with CLSA.
John Oh - CLSA: Hi, thank you for taking my question. Thanks for correcting that Sheldon. How are you? I only have one question today and that relates to I guess Sands China. When I look at your aggressive share buybacks at LVS how do we think about your buying back stock at Sands China. And I guess the question I really want to know is there a need you still have a listing status at Sands China do you still need to have that listed, can you take that private, is that something that you are technically considering the long run given the free cash flows?
Sheldon Adelson: I have been trying to get three enlisted in Hong Kong for a long time and we looked at it and it would have taken I don’t know what today’s price, $63, $50 I think it is, they closed today.
John Oh - CLSA: $1 million last year.
Sheldon Adelson: Yes, it’s somewhere between 15 billion and 20 billion. Frankly, given my motto, I would rather take that cash and pay it out to shareholders both in (SCL) and LVS and continue to buyback shares because our bosses are the shareholders. Now, I am very large shareholder, but I got a boss too, called Dr. Miriam Adelson. And so I go to – we all have bosses. But I consider all of our shareholders the boss. So you guys are the guys that we are reporting to. We hope – we are trying hard to satisfy you. And although I would like to buyback the – what we went public listing in ‘09 of SCL and it fold it back into where we are 100%. I think I would rather take that 15 or 20 bidding and give it out through stock buybacks and dividends.
John Oh - CLSA: Okay, thank you.
Robert Goldstein: Thanks John.
Operator: Your next question is from Carlo Santarelli with Deutsche Bank.
Carlo Santarelli - Deutsche Bank: Hi, guys, how are you. Thanks for taking my question. Rob, may be you could help here with the some Macao stuff. If I start to think about obviously your VIP rolling chip volume and obviously as you made a point, not really a focus but the mix between direct and junket. In light of some of the comments that were made a few weeks ago about but some of the junket relationships, etcetera. Do you guys feel maybe you will start to use the direct program a little bit more?
Robert Goldstein: Not necessarily, we have a good relationship with our junkets. I think you are referencing I am not sure what you are referencing. But we had a good relationship with our junket partners. We do VIP premium direct obviously as part of our business. The only thing I think you recognized Carlo than anybody is that we are just in a unique position vis-à-vis the mass markets to perform because we have the sleeping rooms and the capacity. We are not putting a back seat to the junket segment nor to the VIP direct. Now, we value those businesses and those segments and we will operate them aggressively and competitively. It’s just that the towering opportunity we see as the non- Guangdong visitation keeps evolving through the infrastructure improvements puts us in unique position, Sheldon referenced how far they come. They bring more money with gambler they stay longer its right in our power house where we want to be. So the opportunities are so unique to grow from $600 million, $700 million to $1 billion a quarter in that segment that we simply have to don’t keep more resource to that mass segment. We won’t ignore the junkets nor we be difficult partners. We are very – as long as we all have where you make money together and it works in the compliance perspective, we are happy to participate in that segment.
Carlo Santarelli – Deutsche Bank: Great.
Sheldon Adelson: Point out that everyone of our customers in Singapore and they are big playing customers are all premium direct.
Carlo Santarelli – Deutsche Bank: Sure.
Sheldon Adelson: All of them, we don’t go through any middleman whatsoever.
Carlo Santarelli – Deutsche Bank: Great. And then if I may just one follow-up I know obviously given some of the RevPAR metrics out of Macao this is probably a strange time to ask. But have you guys done any thinking as it pertains to your mass business and using that hotel room base a little bit more for the casino customer?
Robert Goldstein: Unequivocally, our business plan, our team there is very focused on converting from cash ADR to a high value casino customer. Clearly that’s the upside that this was growing from – Venetian was a nice performing property a year ago making I think it was $350 million or so for the quarter and now its $470 million and $348 million versus $470 million, margin is about the same 39.7 versus 40. But the conversion there, the growth there hasn’t come out of necessarily junkets or slots in ETG, the driver of that property and the driver of our fundamental business is that mass conversion. And to your point, using those hotel rooms to sleep the right kind of people that gamble. I think we all know we got running room here to grow our business materially versus SCC and Venetian. I made a comment last year somebody Venetian could be a $2 billion building people thought I was kidding at. I think we realized that that’s the goal is to get $2 billion and beyond. The growth in Macau certainly has not been as strong in other segments. The growth in Macau resides in that mass segment and that’s our strength that’s who we are. And there is 9000 rooms we built years ago coupled with those 1100, 1200 gaming tables just puts us in a very unique position to grow. So obviously SCC, Venetian we think had a lot of running room to grow and perform beyond the current levels. As good as they are, they can get a whole lot better.
Sheldon Adelson: I just want to call to your attention Carlo. I want to repeat my prepared remarks. In the first quarter of 2013 we generated approximately $867 million in mass table revenue and we grew that in each successive quarters to $930 million, $1.06 billion and $1.22 billion and finally $1.34 billion. I don’t have my calculator in front of me, somebody took it. But it looks like at least it looks like a very substantial growth in just four quarters, very substantial.
Robert Goldstein: And more to go, the point is as good as that is Carlo we think there is lot more room to run. I mean.
Sheldon Adelson: It’s 54.2%.
Carlo Santarelli – Deutsche Bank: That’s great. Thank you very much guys, very helpful.
Robert Goldstein: Thank you.
Sheldon Adelson: That’s where we looked in the future, continue to grow that.
Operator: Your next question is from Thomas Allen with Morgan Stanley.
Thomas Allen - Morgan Stanley: Hi guys. So congrats on winning the market share base this past quarter. As we think about – as we think longer term as Macau type properties open and your percentage of the room footprint shrinks below the current 66% do you think you have the ability to maintain your current market share? Thanks.
Robert Goldstein: I think we – if we maintain our current market share…
Sheldon Adelson: What we do think about maintaining current…
Robert Goldstein: Referencing these new properties.
Sheldon Adelson: We are not going to make and we are going to increase it.
Robert Goldstein: We actually believe we can grow materially. I think we – with new properties coming on board and we welcome the competition, we will be one of those new properties. So our current room count will grow to 12,000 keys, far beyond anybody else on Cotai. And Cotai is the growth engine of Macau. If we continue our current performance and improve our use of rooms and our retail, we expect to grow significantly our share against the market and as good as this quarter is we think there is lot of room to grow as we keep our strategy going. And again I think the next two years we are virtually alone until sometime in ’16 in this area. So with a mass market is ours to dominate next two years I think beyond that 12,000 keys we will still be dominant player on Cotai for long time to come.
Sheldon Adelson: In terms of all the expansion we are the only one that’s adding 3,000 rooms. The others are adding less than 2,000 rooms each, so we will maintain over 50% of the overall room mark. So we are not going to lose our plus 50% room advantage. Look years I created, it was my vision I created the Cotai Strip. And now today everybody will cut of their right arm to get a piece of land in Cotai when everybody thought in the past that it wasn’t going to succeed. Well, today I have a warehouse full of right arms. There may be a few left arms in there. And from the south paws and when – so it was my vision to create the footprint that I thought was necessary and achieved critical mass, we have done that. And as everybody else is building property and under 2,000 rooms, we are building 3,000 rooms and we are looking for another one, another possibility of another 2,500 to 3,000 room property. That will provide the room nights for to bring in the patrons that are traveling longer distances. And in less than two years, hopefully less than two years, when the Hong Kong-Zhuhai-Macau bridge opens we will be 20 minutes from the Hong Kong International Airport. That is expected to significantly grow the MICE market, meetings, incentives, conventions and exhibitions, and the FIT market and individual visitor scheme additional cities opening up those cities. So Macau will end up with another Airport besides the airport it has that services 100 carriers that service 180 cities. So we are looking at another significant major infrastructure improvement that will essentially be part of Macau.
Michael Alan Leven: Thomas, I want to just add one thing that clarifies the numbers behind Mr. Adelson’s comments. We have a slide in our slide deck, in the appendix, its Slide 31. I made the comment about market share of EBITDA. We really do focus on that. And if you look at the last year in 2013 we are at 32% market share again EBITDA. And if you look at where we were a year ago in 2012 it was 28%. So we actually gained 4 points of share of EBITDA in the market and our growth in EBITDA over the last couple of quarters looking at the 40 at the TTM of the first quarter of ’14, we are growing at 48%. So clearly, if we are growing at 48% we would like to keep growing it. The revenue thing is not the driver. Everything Rob’s focused on is driving EBITDA per table and EBITDA per room and that’s really where we are going focus all the attention.
Robert Goldstein: And Thomas, one more thing I think we should be clear we are obviously raising those in the Macau market in general and we believe that for our competitors as well. Well capitalized comp competitors with great business strategy will be coming to Macau to Cotai and not diminish their efforts or their capabilities are huge. But I think the good news is the market is huge. Sheldon referenced the bridge, the trains, all the infrastructure improvements to grow this market. We believe there is going to be a much more important market than even it is today. So there is plenty of room for everybody to make money. The only difference is, we have a strategic initiative which is to focus on rooms and our gaming opportunities. So it’s a little different in terms of our capacity ability to, especially during peak periods sort of during Chinese New Year’s, you saw that in February. We simply dominated that during those periods. Its capacity constrained market a lot of time and that’s where our advantage – our competitive advantage kicks in there. But I think there is plenty of room for the entire group to do very, very well in next three or four years.
Thomas Allen - Morgan Stanley: And Rob just thinking about yielding out those rooms better if your average ADR at Venetian is around $250 and average stay is two nights, how much more valuable, can you quantity at all how much more value those casino customers are?
Robert Goldstein: Sure. The range is as low as 1500 size 5000 plus a night. So you do the math, I mean the people at the Venetian and comment about success in this quarter 470 I think it must be a record quarter for the Venetian and probably for gaming property. But do your math we are still underutilizing it’s the most coveted room nights in Cotai is to sleep at Venetian. We have more people in the floor now talking to customers. That is the number one desired complementary room on Cotai. As we use that demand and convert to your reference of 250, cash ADR, the spread can be $1500 to $2000 -- $3000 a night, especially on weekends and peak periods. So to me there is hundreds of millions dollars of EBITDA that could be converted at the Venetian. In particular SCC could be a second place behind that. But the beauty of our building is we can put people who are sold out at Venetian over to SCC. But you referenced it well, it’s – the conversion is amazing and spread there could be yield hundreds of millions dollars Venetian and SEC leading properties are really infancy in terms of EBITDA creation. And the competitive advantage we have with sleeping rooms and table opportunities places to gamble at capacity constrain market especially during high peak demand periods, is where our star really shines. So yes, we see it loud and clear, that’s our charge over there and most of the time thinking about how to convert. And as you know it’s only market in the world with tables, mass tables on those important thing in the building. It’s the opposite in Las Vegas where mass tables are very challenging. So that’s our advantage. It’s strong, it’s loud and our direction, management’s direction is very clear and focused on that opportunity.
Thomas Allen - Morgan Stanley: Thank you.
Operator: Your next question comes from Felicia Hendrix with Barclays.
Felicia Hendrix - Barclays: Hi, good afternoon. Thanks for taking my questions. Sheldon, you gave some color in your prepared remarks on the company’s leverage. And when you talked about the debt ceiling, the level that you would go up to, you mentioned three times, that’s about half a turn lower than the 3.5 you mentioned on your last call. So I was wondering what, if anything has changed? And then also, since you do have the capacity and you have mentioned before that using leverage isn’t something you prefer to do, we still continually get asked by investors why you don’t use your balance sheet more? So, I was wondering if you could address that also.
Sheldon Adelson: You are right. I did mention 3.5, so it is nothing that made me change it to 3.0 it’s my natural aversion, my debt aversion. So it’s not significant, it just came out of 3, it could 3.5, but our earnings and our cash are so plentiful and it’s going to be number several years before we need large amounts of money. So the short to intermediate term outlook for stock repurchases and dividend increases is much more likely than the fact that we will need a significant amount of cash to build something else. We are just in the cat bird seat here. I looked as Bob was answering the question a moment ago, I’d look at $867 million to $1.34 billion. It’s over 50%. If we do that again between now and next year and we just think of where we should be. Yes, we will be sweet too and not to mention delicious. So, just you don’t see that and only is that I have been involved in this industry which is 26, 27 years.
Robert Goldstein: Never existed, Sheldon.
Sheldon Adelson: It’s never happened before, never happened. So you could in one year you go 50% when the growth rates are down in low double-digits. And that’s considered high in the current pace, in the current environment. I remember when 55% was sold low, somebody was projecting a 72% and the entire sector fell, because we were undergoing 50 some odd percent. Look where we are going over here. And it just shows that our multiple advantages with the rooms, the casino footprint, the number of games, the utilization to the rooms to house premium mass customers and on and on and all these advantages that we have just results in this incredible growth plan. And I don’t see anything as I said in my conversation with a friend yesterday, I don’t see anything that’s going to been that growth curve.
Felicia Hendrix - Barclays: Thank you for that color. You also have recently applied for land to expand your hotel capacity in Singapore, so I was wondering what the status of that is? And then you also just mentioned that you are looking for land to build more hotel rooms in Macau, so I was wondering if you could talk about the most likely place those would go? Thanks.
Sheldon Adelson: That – okay, I will answer the last – first question first. Singapore, they don’t work as fast as other cities. They go to a lot of – they have a lot of different ministries and agencies participate in growth. I don’t see getting an approval for expansion. They are, however, they have come to us and say what can we do to help you maintain Singapore’s competitive advantage throughout the Pacific region? We just got another award yesterday, what, best hotel, best leisure hotel in Singapore. We came in ahead of our competitor, RWS. Of course, on the property like MBS, it’s had not to. So, in Macau, I had mentioned this during our last call, we are looking at the landowners the tropical guidance. I proposed a vehicle that we could share a piece of that land with our neighbor provided we got compensated for some of that land out of lot 7. And I don’t know that Macau is a lot faster than Singapore, but it’s still not a decision it is like. It’s not an entrepreneurial decision. It’s a government decision bureaucratically involved. So I don’t really know when we get that, but as soon as we get that, we will let you know.
Robert Goldstein: It was one of the best full service hotel by Asia One readers. The Marina Bay Sands was yesterday.
Felicia Hendrix - Barclays: Congratulations. Thank you.
Sheldon Adelson: We have well over 100 awards like that. The MBS is a very extraordinary, very unique building not only physical building, but service. People love working there. We have sent expats down there. Normally, we would keep expats for two to three years to train local people, but none of them want to come home. They want to keep staying there.
Operator: Your next question is from Steven Kent from Goldman Sachs.
Steven Kent - Goldman Sachs: Hi, good afternoon. I was struck, Rob and Sheldon and team by Slide 34 and Slide 40 of your deck, which shows the improved productivity of the tables, mass versus VIP. And then when you go to Slide 40 and you see the profitability tables, just see what’s going on there, and I mean you mentioned a little bit of some of the things you are trying to do, but Rob and Mike and team, is it as simple as just moving tables here and there or what else you are doing to get the up into the ride? It’s so rare to see that in both metrics. How are you doing that is, I guess, my question and how do you continue to do it over the next couple of years?
Robert Goldstein: Steve, it’s Rob. It’s not easy as you referenced, nothing is that easy. It’s first we are recognizing opportunity and the markets uniquely playing into our favor. Very honestly, they are coming from further, the non-Guangdong visitation has accelerated significantly. That’s the big positive. That necessitates a sleeping room opportunity. We have those rooms far beyond anybody else in the market. We have the table capacity. It’s encouraging our team to sell those rooms to or comp those rooms to high value casino customers. It’s – but uniquely, you are correct, it’s the only market much different than the U.S. where mass tables are not as profitable as segment. They are the most profitable segment. And so the goal is to recognize them, acknowledge them, convert them from other properties and to encourage them become SCL customers. And so that’s the game. It’s not as simple as it sounds. We are unique in that the Venetian that’s mass visitation to the roof that is presently unique retail opportunity there, the sleeping opportunity, the retail mall, the theming of the property, it does attract huge visitation. We were slow and our neighbors were fast than us to recognize the premium mass market, but the unique thing about is we catch up very quickly. We also held one advantage that no else has. And that is the pure mass play on peak periods. We have a unique opportunity to either sell or comp rooms to people and we have a place to gamble. So if you are seeing on Cotai with only a couple of hundred game positions on the mass side, you cannot compete because you drive limits so high, you chase more than pure mass play. So it’s a lot of things in place here to make this happen. It’s not simple. Our team has done an exemplary job of recognizing converting. We have a lot of people on floor now. We are very aggressive talking to customer base. And as you know, it’s difficult because of multiple dialects etcetera, but I think you are seeing in other slide you referenced Steve that our efforts are paying off. We are converting both top and margin numbers that are extraordinary. And the thing we really believe though, as good as they are, it’s how much stronger they can get if we continue to get a higher percentage of our hotel rooms occupied by high value casino guests versus other segments.
Steven Kent - Goldman Sachs: And just a quick follow-up, Sheldon you talked so much else about capital allocation and the opportunities, the one area you haven’t mentioned is selling assets and in the past you have talked about your thought process, in particular, on the malls. And I just wanted to know if you could give us an update on that? Obviously, they are doing very well, but the market is also doing well for selling assets. So I just wanted an update on how you are thinking about that?
Sheldon Adelson: It’s the same as it’s always been. As long as we are growing in moderate double-digits, 20% some odd. We are not selling assets, because nobody is going to pay us what we think it’s really worth. When the growth curve ends up at give or take single digits up to 10%, then we would consider seriously selling, but it’s good news and bad news. The bad news is we can’t sell it right now. The good news is the reason is we are doing so well, oh, you don’t want to sell it, because we could sell it into a 4% or better cap rate environment with significantly improved results. And by the way, I’d like to say on our EBITDA number. The beginning of the year you don’t get our increase in rental revenue occurs because of this percentage of sales. That’s standard in the industry, but you don’t have that percentage of sales until the last half of the year because the first half of the year is your basic rent. So if we have taken a $50 million additional number that might come in the last half of last quarter into this quarter, we would be pushing somewhere between $950 million and $1 billion a quarter, now because the income coming from percentage of sales isn’t going to come until the second half of the year.
Steven Kent - Goldman Sachs: Thanks Sheldon.
Michael Alan Leven: We have that laid out on Page 32 in the appendix, though. So you can see we have $57.4 million of percentage rent revenue in the fourth quarter of ‘13 versus only two, so it’s another $55 million in revenue you need to sell.
Steven Kent - Goldman Sachs: Okay, thank you.